Operator: Good day, and welcome to the Cabot Oil & Gas Corporation First Quarter 2019 Earnings Conference Call and Webcast. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, today’s event is being recorded.
Dan Dinges: Thank you, Rocco, and good morning to all. Thank you for joining us today for Cabot's first quarter 2019 earnings call. With me are several members of the executive team. I would first like to remind everyone that on this morning's call we will make forward-looking statements based on our current expectations. Additionally, some of our comments would reference non-GAAP financial measures. Forward-looking statements and other disclaimers as well as reconciliations to the most directly comparable GAAP financial measures are provided in this morning's earnings release. Cabot shareholders have enjoyed a solid start to 2019. During the first quarter, we delivered record levels of operating cash flow, free cash flow, adjusted net income and production underpinned by the continued success from our operations in the Marcellus and our unwavering commitment to disciplined capital allocation and cost control. The first quarter net income was $263 million or $0.62 per share and adjusted net income, excluding selected items was $308 million or $0.73 per share. This represents a 161% increase in adjusted earnings per share relative to the prior-year comparable quarter. Free cash flow for the first quarter was $308 million, which was approximately 3.5x the amount from the prior-year comparable quarter and greater than our free cash flow generated for the full-year in 2018. For the trailing 12 months, we generated a return on average capital employed of 20.4% compared to 8.3% for the trailing 12 months as of the end of the prior comparable quarter, representing an increase of over 1,200 basis points. This ROCE of over 20% exceeds the current ROCE for the S&P 500, highlighting Cabot's competitive positioning relative to the broader equity markets. Our success for the quarter was driven by higher production levels, improved realized prices and lower operating expenses. Production for the quarter of 2.28 billion cubic foot per day was above the high end of our guidance range and represented an increase of 21% relative to the prior-year comparable quarter. Natural gas price realizations were $3.35 per Mcf, an increase of 37% when compared to the first quarter of 2018. Our price realizations before hedges were $0.06 below NYMEX, which was our best corporate-wide differential since the second quarter of 2013. Operating expenses decreased to $1.48 per Mcf, a 6% improvement relative to the prior-year comparable quarter, primarily driven by lower direct operating expenses, DD&A and interest expense.
Operator: Thank you, sir. We will now begin the question-and-answer session.  Today's first question comes from Leo Mariani of KeyBanc. Please go ahead.
Leo Mariani: Hey guys, just a quick question on your second quarter production growth, it looks like you're bringing on more wells in 2Q versus 1Q. Additionally, a lot of the 1Q wells kind of came on late in the quarter. I guess, given that I would thought maybe the growth would be a little bit higher in 2Q. Are you seeing a lot of those 2Q well tie-ins also come on late? Just any color you have around that will be helpful.
Dan Dinges: Well, we'll have a number of those wells that are scheduled for May and that's kind of the middle May. So that's pushed out towards the latter part of the quarter. As we bring on these wells and we bring them on systematically, we don't bring on plus production out of the – as we unload the wells. So even though we bring them in say the middle of the quarter or the latter part of the quarter, we'll still bring them on and we'll see the majority of that increase probably towards the third quarter.
Leo Mariani: Okay, very helpful color for sure. Any further update in terms of the Upper Marcellus well performance now that you've had a couple more months to kind of view those wells?
Dan Dinges: No, it be a similar comment that I've made previously. We have not seen anything to deter our expectations that the production curve, the decline curve, if you will would be above what we have out there currently as our 2.9 EUR for the Upper Marcellus. That is holding true with the early time production curve and quite frankly, we do expect that, but as prudency would necessitate we're going to get more production before we make a firm statement on that. But we're pleased with what we're seeing and we're continuing to drill representative wells in that section throughout this year.
Leo Mariani: All right, very helpful. I guess, just lastly on your stock buyback, obviously, a little bit less robust this quarter. It sounds like just on your comments, it was really just due to the blackouts that you guys had in some of the restrictions there. Clearly, more of a focus on maybe kind of ramping the dividend. I guess, to kind of get to that S&P competitive yield that you're sort of talking about, do you think that's something that could kind of happen by the end of the year? Is that kind of a realistic expectation when you talked about some of the measured dividend growth?
Dan Dinges: Yes. We look at in whole when you think about our buybacks. We had the first quarter and coming into the first quarter, as we're all aware had and strong pricing in December and into the early part of the first quarter, a lot of noise, you had some early warming in coming into the shoulder months and also during the blackout period, we thought it was prudent to just let all that settle in. We were focused on the dividend increase. We had a discussion with our Board that this is directionally where we want to go. So we felt comfortable with our position on buybacks for the first quarter and laying out this dividend increase. And as we go through the year, we'll continue to have Board discussions on how we want to allocate our capital in the form of dividend increases and buybacks. But our comment and our objective of giving back a minimum 50% of our free cash flow is – I feel certain is going to occur before year-end.
Leo Mariani: Okay. Thank you for the color.
Dan Dinges: Thank you.
Operator: And our next question today comes from Mike Kelly of Seaport Global. Please go ahead.
Michael Kelly: Great, thanks. Dan, industry consolidation has obviously been the hot topic in space right now and as has been a leading question, but if I look at Cabot, you guys are really kind of a one commodity, and really is a one county levered operator, and I'd love your thoughts on adding diversification to the portfolio and just kind of get your general take on what Cabot's role if any is likely to be kind of a period of increased consolidation. Thanks.
Dan Dinges: Thanks, Mike. It's going to be, I think you'll continue to hear a lot of the chatter and expectations on the M&A side. When we look at our assets and where – how we're located to your point of a single commodity, single basin, single regulatory environment, it's two edge sword. We're there, but we're there with the – what I think is probably the best natural gas assets in North America. I think our numbers and financials do reflect that. So looking at what we can deliver with just those assets, manage the risk profile of it being same commodity or same jurisdiction, we're comfortable with that. We're comfortable with how we've been able to manage it and we're comfortable with working through both the regulatory environment and the commodity price expectations that we can still deliver financial results. And when you look at long-term and assess from a Board level, strategic level, Cabot has always made decisions that are I think beneficial to shareholders to deliver the maximum value and any strategic decision we would make would also take that in consideration. So if it's good for the shareholder, my job one, two and three is to deliver value to the shareholder and if it's good for the shareholder, my job is to evaluate it. So if it's a strategic, it's strategic. If it's doing what we're doing and that's organic growth, delivering value through dividend increases and buybacks and organic growth with a very clean balance sheet, I think we have one of the best looking companies on a macro level and delivery to shareholders that you can find out there with a high degree and level of consistency on delivery. So we're happy with the cards we have and again, if there is significant value enhancement in any other direction, then I'm paid to look at it.
Michael Kelly: Great. Appreciate the color. Shifting gears a little bit. Q1, the differential, it's great to see that narrow fairly significantly. Just wanted to get your thoughts on how you see that differential trending throughout the rest of 2019 and say maybe even color on the differentials as you head into 2020 and beyond? Thanks.
Dan Dinges: Yes. Thanks Mike. And I'll let Jeff handle that.
Jeffrey Hutton: Good morning, Mike. Yes, the differentials were what we expected in Q1 after Atlantic Sunrise ramped up  basin demand projects came on, so we certainly enjoyed a good Q1. Looking out at Q2 and more short-term maybe the balance of the year, basis has widened a little bit. We did expect a little more volatility in the shoulder months and we're seeing it right now. I think the same volatility applies in the NYMEX world as well. So we do expect some ups and downs. Looking out beyond that, it's still encouraging. They're way better and way tighter than what we experienced in 2016, 2017 and 2018. So we're pleased with the trend and I think it's here to stay. And quite frankly, as we build more in-basin demand projects and others do as well. And we see the production not necessarily decline, but certainly the growth moderate, our expectations are, we're here to stay with these type differentials.
Michael Kelly: Great to hear. Appreciate the color guys.
Operator: And our next question today comes from Charles Meade of Johnson Rice. Please go ahead.
Charles Meade: Good morning, Dan to you and your whole team there. I wonder if you could give us a little bit more insight or detail, it makes sense to me on your blackout periods, it makes sense that with year-end reporting that a lot of the early part of the year is going be blacked out, but what's it look like, or I guess, 2Q, the four-part, 2Q for you?
Dan Dinges: As far as blackouts concerned?
Charles Meade: Right.
Dan Dinges: Well, we have a consistent parameters leading up into our year-end numbers and our quarterly release and as we gather the numbers, we provide notice to all of the, as you put it insider personnel, including the Board, a bandwidth that's conservative early and we allow for a few days for dissemination of the data post release to – in the blackout. So second quarter is going to be open next week some time and will be free to do what we want to do at that period of time.
Charles Meade: Got it. So I guess where I'm going is the majority of this three-month window is going to be open to you, which is different from 1Q and that's the message you were trying to give us?
Dan Dinges: Yes, exactly.
Charles Meade: Got it. And then a second question, you and this thing, just go back to the comment you made in your prepared comments about what you're seeing, or what your expectations are from Marcellus for kind of play-wide growth and ditto in the Haynesville, so it seems from my point of view that most operators up in the Marcellus, are I guess holding rank in the sense that they're not seeing a breakout in activity and people going back to tout spending, but could you confirm if you're – what you're seeing if that's similar and maybe elaborate on how you expect that to progress through the year?
Dan Dinges: We have – our group up there monitors the equipment activity, rigs, frac crews and we get a fairly good feel for, and particularly in the six county area that we focus in, like fairly good level of expectation, the number of completions that would be coming on. So our comments are with the benefit of that information and we certainly feel comfortable and agree with your comment that there is some rationalization going on by the industry. And I think that is prudent and I think it will continue. Particularly when you look at the shoulder months that we see, you've seen a fairly good and quick fall off because of the early weather conditions and that certainly has a bearing on capital allocation and intensity of capital allocated. We also come into this period of the season with maintenance that affects production profiles and forecast, which certainly affects our second quarter numbers a little bit also. So I don't, we're just – we think there will be that rationalization and some of the equipment count indicates that also.
Charles Meade: Thanks for that added color Dan.
Dan Dinges: Yes. Thanks, Charles.
Operator: And our next question today comes from Brian Singer of Goldman Sachs. Please go ahead.
Brian Singer: Thank you. Good morning.
Dan Dinges: Hello, Brian. 
Brian Singer: Can you or Jeff give us the latest update on the midstream chalkboard, any local demand projects or pipelines out of the region that are moving earlier, later added or subtracted from the schedule?
Dan Dinges: Yes. I’ll turn that to Jeff.
Jeffrey Hutton: Hi. Good morning, Brian. I guess, two areas on in-basin demand. Obviously, it's key on our radar. We were out there looking very, very hard at a number of different things. Nothing to announce today of course, but I would add that we were also being very maybe selective in our approach. We want to find the right project, the right scale, timing. We also want to find the right project for the community, and there is a lot of factors going into it, but we are looking around. We have a lot of leads and lot of prospects. I'll kind of leave it at that. But I might add that others are going at it as well and in the six-county area up there, I think there's been something like 1.4 Bcf of in-basin demand added in the last year and a half, of course, a lot of that was power growth and we are continuing to get calls about additional projects up there, but on the power side, but we'll see how those play out. In terms of infrastructure, I'll just talk about why these staff to begin with. Publicly you all will see a filing notice a FERC problem in June on the project, we've completed pre-filing, completed open houses to the projects moving along and see nothing at this point to move us away from November 20, 21 in-service on that project. Talk a little bit about PennEast, I think publicly they have said that they will submit their DEP permit to New Jersey sometime in June. I think they also have said administratively they are complete in Pennsylvania. So that's good. So we'll see how the DEP and their 401 is treated once it's submitted. Also it could be anywhere from six months to a year and I believe they've stated they'll start construction as soon as they get that final permit. That's about it on the projects out at this point.
Brian Singer: Great, thank you. And my follow-up Dan is that the dividend increase is certainly notable here, what are the key areas of focus for you, management and the Board, as you try to go through the year and figure out how much more relative to the 50% minimum you would expect to return cash to shareholders. What do you see as the potential range and then the key other areas of competition for cash?
Dan Dinges: Well, the biggest competition for cash is Scott. He wants to maybe keep that payoff all that debt.
Scott Schroeder: Yes.
Dan Dinges: But kidding aside, we evaluate the different process that can be employed in dividend management. There are – and buybacks. There are some that says go ahead and get it ratchet up to the level that you would want it to be. And from a council standpoint, our third-party perspective, it seems to be a 2% yield on dividend seems to be the floor when it comes to evaluating the broader market and on the buybacks there is the back and forth between opportunistic and just putting in a consistent program of buybacks and what is the most effective process to employ in doing that. So when we have that discussion at our Board at this point in time and again it – we've had free cash flow the last three years. We are now moving into a clearer picture with just Marcellus as our asset, our predictability with again was just last October with the commissioning of the Atlantic Sunrise, the certainty of the commodity space and where we think the landing point is going to be, the differences and differential in the Northeast area, we wanted to measure out. And so with that comfort and a clear path for a over a decade of being able to deliver free cash flow, I just think and the Board thinks at this point in time though maybe conservative that representing delivery of 50% of our cash flow in broad terms, including dividends and share buybacks is a messaging to the street that we're going to do it, but we also say that we will give back possibly more than that. And we're comfortable right now taking a gradual step up in the dividend increase. And we're comfortable right now just having a opportunistic messaging on buybacks. Could that change in the future? Sure, it could, because we talk about it every Board meeting. A little bit long-winded Brian, I don't know if that answers you specifically, but we do consider all aspects of how we give back capital.
Brian Singer: That is helpful. Thank you.
Operator: And our next question today comes from Holly Stewart of Scotia Howard Weil. Please go ahead.
Holly Stewart: Good morning, gentlemen.
Dan Dinges: Hi, Holly.
Holly Stewart: Dan, maybe the first one just, I know you've provided your kind of key forecasted financial metrics at different pricing, but any updated thoughts around your activity levels, should strip move substantially below this kind of $2.75 level and obviously recognizing different tools are substantially better than they have been when we were at sort of similarly depressed NYMEX prices?
Dan Dinges: Yes. We have bandwidth of $2.50 to $3.00 and if it moves substantially below our bandwidth as an average for the year at any point during the year, we're not going to have a knee-jerk reaction to our capital allocation, we'll continue to look at the macro and make some projections on where we think the strip is going to go, but you need to keep in mind that we deliver significant amount of earnings and return to the shareholders even below our $2.50 low end that we've used for 2019. I understand the metrics and I understand the cost and I understand the return from our peer group out there and I know that if Cabot gets stressed in any particular way, I think there's going to be a self-correcting mechanism because Cabot can make money below $2, but I'm fairly confident with my knowledge that there is not going to be a lot of money made below $2 and I think it's going to have an impact on the macro environment.
Holly Stewart: Yes, understood. And then maybe just one for Jeff on Atlantic Sunrise. I mean, Jeff, I know we've talked about your equity investment there and you'd previously mentioned looking to see that final project kind of move forward on Atlantic Sunrise. So maybe any updated thoughts on you're divesting of that equity investment?
Scott Schroeder: Holly, this is Scott. As we said when we invested both in Constitution and Atlantic Sunrise, our motivation was to have a seat at the table as part of the decision-making process and that served us well, obviously, with one very positive result and one still yet to be determined, but long-term for the Company, they're not going to be either pipeline or it's going to be part of our assets going forward. Look we continue to kind of monitor the marketplace and when we feel it's right, we'll explore the opportunity to sell that asset. So right now, more to come. We're just kind of assessing that at this time.
Holly Stewart: Great. Thanks Scott.
Operator: And our next today comes from Jeffrey Campbell of Tuohy Brothers. Please go ahead.
Jeffrey Campbell: Good morning. Congratulations on the strong quarter.
Dan Dinges: Thank you.
Jeffrey Campbell: My first question was just, it looked like that the first quarter 2019 free cash generation was greater than would have been expected just looking at the nat gas price relationships that you've got on Slide 10. I was wondering if it was that extra boost from the very narrow differentials that you enjoyed in the quarter or was this something else?
Dan Dinges: It was a combination of both, it ceded our realized price expectations and we did see the significant narrowing in the differential, it was combo.
Jeffrey Campbell: Okay. Thanks. And another kind of higher level question. When Cabot is asked about M&A or exploration, it seems like the assumption is always that it would be about oil and be in other basins. I was just wondering if you ever look for other dry gas opportunities within Appalachia and I realize your Lower Marcellus acreage is clearly at best, but there are some other dry gas areas in Northeast PA that are starting to show dramatic improvements. So I wondered if that's something you keep an eye on.
Dan Dinges: Yes, we monitor all the activity up there and we do keep an eye on it. If from a decision standpoint and how we monitor or consider capital allocation or strategic opportunity, we look at what the financial returns would be of any investment we've made at agnostic, quite frankly, to the commodity. If we feel like we can deliver significantly more of the same then if it comes through natural gas asset or oil asset, we're indifferent. The benefit, if you do get out of basins it mitigates the single commodity. If you do also get out of a basin it would probably be an oil consideration also which also is not only the commodity differential, but it is also out of the jurisdictional confines of PA. So we look at both, but one, two and three is what deliveries of the financial metrics would occur if we did anything.
Jeffrey Campbell: Okay. Thanks very much.
Operator: And our next question today comes from Michael Hall of Heikkinen Advisors. Please go ahead.
Michael Hall: Thanks. Good morning. Solid quarter.
Dan Dinges: Hey, Michael.
Michael Hall: I was just curious maybe if you could talk a little bit about hedging philosophy and just kind of how you guys are thinking about that as you keep progressing forward on the payout strategy and the path you've laid out? How you guys thinking about hedging and how might that evolve over time?
Dan Dinges: So we went into the 2019 with virtually no hedges and we ramped up as we have currently in where we stand. We felt like that was inflection point. The market responded to some of the weather that we had and we took advantage of some of that. Obviously, prefer offensive hedges prior to the defensive hedges. We will be opportunistic, and we will lock in what deliverables that we have – have promised if in fact the market would provide that to us. The runway on some of the hedge is somewhat limited by just the depth of it. You can go out there a good ways, but it's not necessarily always at the price point that we would like to see. So if there is not a lot of depth and then it limits our participation, but if we do see numbers that we appreciate and it helps where we think the macro market will go, and it improves our line in that regard, then we continue to layer in that opportunity to mitigate.
Michael Hall: Okay. That makes sense. I mean is there a kind of minimum level of hedge that you guys are targeting over time in these kind of bias towards hedging on a differential versus at NYMEX or any additional thoughts on that?
Dan Dinges: Well, we look at it every way, Michael, on how we might place those hedges and where we think the opportunities would come and certainly now with a little bit different index points that we reach today then we have that added flexibility. There's no minimum position that we try to get to. If the market is low and we haven't achieved a level of hedging on our books, we're not going to, because we set a minimum. We're not going to try to achieve a minimum. If in fact though back to my point, if it looks like that we can improve our lot from our forecast and the market would give that to us, then we are going to be active in the hedge market and the same holds true, we really have no minimum that we'd like to get to and we have no maximum that we would be prepared to get to also. If we see an opportunity to lock in the majority of our volumes under hedge we would do that.
Michael Hall: That makes sense. And then I was also curious just on the operational side, as you kind of look at the asset quarter-to-quarter, across the year. How do you think about downtime relative to like well maybe like maximum potential productive capacity of the completed wells that would look like? What's that that kind of running on average, as you think about things like offset, well shut-ins, you mentioned maintenance on pipelines, things along those lines, how should we think about kind of downtime assumptions as we build things out?
Dan Dinges: Well, we build into our forecast a percentage of downtime and as a roundabout number, say 10% and that downtime though does include some of the known maintenance scheduling that Jeff provides through the pipelines that will be incurred and dates are set for preventive maintenance and pegging operations or whatever the case might be. So we incorporate that into our sales forecast, if that answers your question.
Michael Hall: Yes, that does and I'm assuming that also if things like offset, well shut-ins, I mean if it's 10% overall, how much is like known scheduled maintenance versus just kind of a buffer for potential operational deltas, that make sense?
Dan Dinges: Yes. We have – our historic look of the offsets and effects on offset wells are the timing that we might shut-in an offset well during a fracking operations, we take that into consideration.
Michael Hall: Okay. That’s helpful. Thanks guys. Appreciate it.
Dan Dinges: Thank you.
Operator: And our next question today comes from David Deckelbaum of Cowen. Please go ahead.
David Deckelbaum: Good morning, Dan, Scott, and Matt. Thanks for taking my questions.
Dan Dinges: Hi, David. Thanks.
David Deckelbaum: Just that, I mean maybe a little bit more in the minutia, but in prior plans you did allow for some well cost inflation over time. How do you see that progressing now through the balance of this year going into next year? And I guess, as you think about your footage costs on just a – even benefiting from longer laterals. How long do you see that progressing for and where you could keep that footage costs sort of flattish here?
Dan Dinges: Yes. We anticipate between now and the end of the year, a relatively flat service cost. Majority of our costs as we mentioned before David are tied up in annual contracts. Well, both the biggest components rig and pumping services. So we expect fairly flattish cost. We continue to try to increase our lateral lengths based on the geology, geography out there and we'll continue to do that. We kind of like the zipcode we're at from an efficiency standpoint and – but we do continue to try to squeeze out everything we can, if it feels the guys up there in the North region feel like that their process and all the different, not only the operational progress that we've made in the past and learning we've had in the past. But any new ideas that they have out there, which we do, and our trying several right now that's not ready for prime time. We'll implement and hopefully, we can continue to gain the efficiencies that we've been successful in doing in the past.
David Deckelbaum: I appreciate that. And you guys sort of reaffirms the differential guidance for the year. Do you still sort of see that or use that as your base case going into 2020 or as you look at some of the in-basin demand projects or other efforts to kind of reduce some of the – or relieve some of the impact around Leidy, how you see that differential shaping up for you at the corporate level going into 2020?
Dan Dinges: Yes. We have given our guidance and feel like going into 2020, we were going to be in a similar area at least with our expectations today in the similar area and it ties back to Jeff's comment about some of the conversations that we have and are having on in-basin demand projects, it also ties into what we think others are having in-basin demand projects and the overall macro position on equipment and what we anticipate will be strong rationalization by the operators up in that neck of the woods. We do anticipate the differentials to stay in the same range that we are today.
David Deckelbaum: Appreciate the responses, Dan. Best of luck.
Dan Dinges: Thanks, David.
Operator: And our next question today comes from Kashy Harrison of Simmons Energy. Please go ahead.
Kashy Harrison: Good morning, everyone, and thank you for taking my question.
Dan Dinges: You bet.
Kashy Harrison: So just one, quick one for me, Dan, earlier you highlighted your expectation for a slowdown in both Pennsylvania and the Haynesville and you talked about what gives you confidence that Appalachia is slowing down, but I was just wondering if you share some more color on what gives you confidence that the Haynesville might be slowing down as well.
Dan Dinges: Well, when you look at it at approximately 10.5 or so 10 Bcf a day at this point in time and in PA, we look at the level of equipment activity out there and the Haynesville area as you're well aware that the majority of the operators there right now are private operators and the activity driven through the private sector. And I think the idea of continued allocation and particularly if you get a soft spot into the strip and you get reduction in the natural gas price as we're seeing right now, it would be my bet and our bet that from a private operator allocation perspective that a continued ongoing contribution at the levels that they had seen going into the end of 2018 and ramping up with several objectives in mind whether it would be to increase production because of anticipation of higher commodity price or increasing production with the idea of IPOs opening up. I think that was an activity driver and could still be an activity driver. But in that combination, I do think there is a likelihood that there will be a little bit less activity as we move forward at the levels that it's at right now.
Kashy Harrison: That makes sense. That was it from me. Congrats on a solid quarter.
Dan Dinges: All right. Thank you.
Operator: And our next question today comes from Jane Trotsenko of Stifel. Please go ahead.
Jane Trotsenko: Good morning. I have a question for Jeff. Atlantic Sunrise is obviously running full. I'm curious how much spare capacity do you see available on Millennium and Tennessee pipelines?
Jeffrey Hutton: Okay. Well, it obviously it varies quite a bit and – but from a high level, we added the in-basin demand kind of offset any kind of production growth over the last couple of years in Northeast PA and you take a look at some of the Southwest PA volumes that are now headed out on Rover and Nexus and some of the Columbia XPress projects and other new projects and you take a look at Sunrise and the 1.7 Bcf, that was probably removed the majority from Transco and from Tennessee and a little bit from Millennium. And then look at some of the new demand that Millennium added new competitive power plant in New York. It all adds up to spare capacity on the interstates, putting a definitive number on it is difficult because we believe there were spare capacity in these pipes before anything I just mentioned. So it is a moving number, but 2 Bcf to 3 Bcf a day of spare capacity is, is not out of the ballpark.
Jane Trotsenko: That's exceptionally helpful. I'm curious how much appetite does Cabot have to grow production in basin, given the numbers that you have just mentioned?
Jeffrey Hutton: While, we're all looking at each other who is going to answer that, but I think one of the things that when you look back even six months ago, right at the time of Atlantic Sunrise coming on and you picked up on the fact that a lot of capacity was vacated to fill that obligation and rightfully so for better price points. We, Cabot did in February come out with a little bit lower of guidance both on the capital side and on the production side because our motivation is simply not – and the market's motivation is not to chase growth. It's more of a moderated growth. Obviously in 2019, Cabot has outsized growth just because of the timing of that sale of those new projects, but a more moderate growth profile going into the future is what – is Cabot's plan at this point in time. We will defend market shares. We've said before, if we see the industry starting to backfill those in any great way. But right now as an earlier question indicated everybody's kind of sitting, has a very disciplined growth plan in front of them either to hold certain volumes flat and grow other places. There is no macro push or push from the peers for us to change our growth profile in any way at this point in time and it reinforces our discipline in our capital allocation at this point.
Jane Trotsenko: This is very good answer. The reason why I'm asking is, we obviously have backwardation in the forward curve pricing, right. And then we have production growth that needs to offset that backwardation. In the forward curve pricing very often what we see is that the earnings trajectory is a kind of flattish as a result of this backwardation and forward curve pricing. I'm just curious if you guys are thinking in terms of growing earnings trajectory over the following years, or maybe just keeping production more moderate and offsetting the backwardation in the forward curve pricing?
Dan Dinges: We plan on, as Scott said, we plan on having a measured growth on organic basis. We plan on augmenting growth on a per share basis with our return of capital to shareholders and from a program perspective and confidence level what we deliver, we feel like that measured growth and a capital allocation program that allows for one that particular growth and the amount of cash flow generation to that yield perspective, which is in 2019, we anticipate around 6%. We think that is a good landing point at this stage and with the additional give back to shareholders, we think that we will be able to attract incremental dollars from outside of a traditional energy investor and compete with the broader market. So from a design standpoint without having issues with our – and uncertainty attached to our program. Keep in mind. We're doing this with three rigs and two frac crews. So the complications, the operation is very, very low and our results are very consistent. So we feel good about that. How we manage this financial side is along the lines that we've discussed and we'll continue to be able to do that again into the next decade.
Jane Trotsenko: Got it. That's it from me. Thank you so much.
Dan Dinges: Thank you.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Dinges for any final remarks.
Dan Dinges: Thank you, Rocco, and thank you for your interest in Cabot this morning and as a closing comment. The good news, assuming you like disciplined capital allocation, earnings and production growth, free cash flow, share buyback, increased dividends, if you like all that, the good news is that you can expect more of the same from Cabot in the future. So thanks again and look forward to the visit next quarter.
Operator: And thank you, sir. Today's conference has now concluded. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.